Operator: Good morning, ladies and gentlemen and welcome to the Karora Resources Third Quarter 2021 Conference call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded, Monday, November 8th, 2021. I would now like to turn the conference over to Mr. Paul Huet, Chairman and CEO. Please go ahead.
Paul Huet: Thank you, operator. Hello and good evening, from Perth, Australia, where it is 11:00 P.M. at night. I would like to welcome everyone to the Karora Resources third quarter conference call. It was another strong quarter for us setting new production and cash balance record. Before we get into the details of the quarter, it is important for me to point out that during the third quarter, we became the first junior gold producer to achieve carbon neutrality in 2021 for both Scope 1 and Scope 2 emissions at our operations. This is an achievement the entire Karora team is extremely proud of. We all look forward to building on its Board-driven initiatives. In fact, I would encourage anyone that has the time to watch or listen to Oliver Turner, our Executive Vice President in one hour as we get interviewed live with Sixx during a webinar. Oliver will be providing additional details on our efforts. I'm joined this evening here in Perth by Graeme Sloane, Managing Director of our Australian operation, and on the line with us is Oliver Turner, Executive Vice President of Corporate Development. This morning, we issued a news release outlining our results for the third quarter. Our MD&A and financial statements for the period ended September 30th, 2021 have been filed, all of which are available on Karora's website and under Karora's profile on SEDAR. And just as a reminder, for those of you who want to follow, we do have a slide presentation that's available on our website. There's a link there. Before I begin the presentation, I would like to remind you to please review our cautionary statements regarding forward-looking information. Non-IFRS measures and our 2021 to 2024 growth plan, which can be found in our management discussion and analysis, news releases, and our presentations. Over to slide five with some highlights. For those of you following the presentation -- actually, sorry, for those of you following the presentation, I'm actually on slide five now. The third quarter realized excellent performance for the company with record gold production for the second consecutive quarter as well as lower cost. We also reported strong resource definition and exploration drilling results from Beta Hunt for both gold and nickel and some very encouraging early stage gold exploration results from the Lake Cowan area on our massive Eagle land package, all of which will be included in our next resource and reserve statements. As previously announced, in the third quarter, we produced 3,365 gold ounces at an all-in sustaining cost of $967 sold. Year-to-date, for 2021, we've produced approximately 85,000 ounces at an average ASIC of about $1,000 per ounce sold, which certainly positions us well to meet our 2021 guidance. As a reminder, our guidance for 2021 was a range between 105,000 ounces to 115,000 ounces at an all-in sustaining costs, again, a range between US$985 to US$1,085 per ounce. While we have achieved new production records during 2021 and are on track for a record year, the best certainly is still yet to come. Our multi-year organic growth plan announced earlier this year will put us on a path to achieving annual production between approximately 185,000 to 205,000 ounces by 2024 at an all-in sustaining cost of $885 to $985. So as we're growing that, we're still encouraged by reduction in costs. With our strong balance sheet and robust cash flow generation, our growth plan is self-funded and will provide a path to elevate Karora into the next tier of gold producers and a higher market valuation for our shareholders. Over the past two years, we have worked hard to earn a reputation for delivering on our promises, and we intend to continue to deliver as we execute our growth plan. As a reminder, our previously announced three-year production cost and capital guidance is shown on slide 5. Our approach is to -- sorry, our approach is to minimize execution risk by keeping things simple. For example, what we intend to do is double production capacity by adding a second ramp or decline. So essentially, what we're going to do is repeat something we've already done. The Beta Hunt ramp when we got there was generating about 35,000 tonnes a month three years ago. We managed to consistently get 80,000 tonnes out of that same infrastructure. So we've gone in the past two years from 35,000 tonnes to 80,000 tonnes out of the Beta Hunt ramp. By putting in the second ramp, we intend to repeat that success in keeping our story simple. This low-risk approach also applies to our growth capital investment, which will be carefully phased over the expansion construction period, reducing or eliminating any need for one-off large capital outflows. I’m just going to go over to slide 6 quickly just to talk about some financial highlights. Third quarter revenue was very strong with approximately $68 million, that's up $9 million, or 15% compared to third quarter 2020. Third quarter adjusted earnings were $14.2 million, or $0.10 per share, which is 3%, or $0.5 million improvement again over Q3 of 2020. Third quarter adjusted EBITDA was $28.5 million, or $0.19 per share, which is a 16% increase over the same period in 2020. Our cash balance at the end of Q3 was the highest ever, with $86.7 million even after we increased capital deployment to prepare new mining areas at Higginsville and accelerated exploration program. In Q3, we realized an injection of approximately $10 million from warrants during the quarter. These warrants had placed some pressure on our share price for some time; it's actually really good to have these warrants behind us now. Before I pass the call over to Graeme, I just really want to take an opportunity to acknowledge the performance of our operating team here in Australia. We're once again delivering such a strong quarter and overcoming many challenges we face from everything, including COVID, again, a special thanks to our GMs, both of them, Alan and Don for their continued efforts and sacrifices. And with that, I'm going to turn it over to you, Graeme, to give more of the operational highlights.
Graeme Sloan: Thank you, Paul. As Paul has mentioned, another very solid quarter for Karora, especially around our key safety and environmental metrics where we saw Beta Hunt move to 48 LTI free days and Higginsville 195. And our mining TRIFR rate, which is an industry wide safety measure continuing to fall. On the environmental front, we had zero reportable environmental incidents for the quarter. One area, which is a growing concern for the entire industry is the effect COVID is having on people and costs. You may be aware; the state of WA has a strict border policy within Australia and with international passage. This has placed considerable pressure on the WA labor pool and import of foreign goods. Despite this, we have remained relatively unscaled, although this may change as we move forward. To date, we have been reasonably successful with the retention of our people and fighting the rising costs yet like all mining companies in Australia, we are not immune to these impacts and continue to look at ways to mitigate and reverse the effect of both. On the production front, we again achieved record gold production and our all-in sustaining cost in line with guidance. On a consolidated basis, mine production was 406,000 tonnes with 358,000 processed through the Higginsville plant at an average grade of 2.8 grams a tonne. Mill recoveries remain consistent and very strong at 94%, demonstrating the benefits of an optimized feed blend of Beta Hunt and Higginsville material. Mine production at Higginsville was 184,000 tonnes at 1.9 grams, primarily from the Hidden Secret Open Pit. Mill tonnes were 134,000 at a grade of 2.1, both improvements compared to quarter two. At Spargos, site infrastructure is now in place. Development works complete and initial mine production commenced. A photo of the current Spargos open pit is shown on page 8 of the slide deck. Looking back, it has been just over 12 months since we acquired Spargos. We have drilled a modeled resource, gained all necessary permits and approvals, develop the mine plan, completed first class grade control drilling, installed all the necessary infrastructure, mobilized contractors and our people decide, carried out the pre-stripping operations, and commenced production. So, quite a feat in just over 12 months. At Aquarius, decline development is underway after completion of the box cut and portal during the quarter. We expect to intersect the Aquarius mineralization in the first half next year with stope production shortly after that. At Two Boys, rehabilitation of the Two Boys underground is nearing completion, with a number of drill sites made ready. Surface and underground drilling is planned to continue until early next year. If you move to slide 9, our operational highlights, Beta Hunt. At Beta Hunt, a total of 224,000 tonnes was milled at a grade of 3.2 grams making up 63% of the total tonnes milled for the quarter. Total gold produced was just under 22,000 ounces. To support the planned growth in Beta Hunt production, planning of the second decline is mostly complete and the staged mobile fleet replacement program well underway. A key part of the growth plan is ventilation. And in quarter three, the Stage 1 ventilation upgrade project was completed. The third quarter also saw a strong increase in nickel sales resulting in increased byproduct credits. Current nickel production areas remain limited to remnant sources. However, we are actively advancing exploration, and in some instance, development activities in the recently announced 30C and 50C nickel areas, our aim to significantly expand future nickel production beginning in the latter part of next year. Slide 12, exploration resource definition highlights. As previously reported, the company has numerous resource and exploration opportunities at various stages of progressed across its West Australian tenements. To advance and unlock this value, we have allocated an annual budget of $20 million to $25 million commencing 2022 through to 2024. At Beta Hunt, just over 9,000 meters of drilling was completed during the quarter, with the key focus being the upgrading and extending of the existing Western Flanks and A Zone resources, defining a new resource at the Larkin Gold Zone, defining a new nickel resource at 30C – at the 30C discovery, and following up on the high-grade 50C nickel discovery holes. At Higginsville, resource definition drilling was focused on supporting life of mine production plan, the life of mine production plan around the main mining centers. Drilling targeted extensions and upgrades to the Two Boys in the queries deposits, testing extension to Hidden Secret open pit, and the Mousehollow resource. Results have been slow in coming, but we are expecting, or hoping a good number will be forthcoming in the fourth quarter or this quarter. Exploration activities in Higginsville have delivered a number of significant new drill results and also saw the completion of the CSA Global targeting study. The CSA study focused on Lake Cowen area, in particular, the Sleuth Trend, which extends for over 25 kilometers and includes Baloo open pit, Monsoon and Nanook prospects. The new results, and if you see the release date of September 14, 2021, include RC drillhole 104, which injected 21.2 grams over 3 meters and a diamond drill hole 364, which intersected primary mineralization of 9 grams over 0.75 meters. Laboratory turnaround time for samples remains a significant regional challenge, with third-party laboratories all at full capacity. As a result, we have commissioned our own lab facility to address quicker turnaround of mill and high-priority grade control samples with the remainder still sent to off-site labs. So in conclusion, quarter three was our best operating quarter-to-date, and we look forward to delivering many more as we embark on our new growth plan. Thank you. And I will now turn the call over to Oliver Turner.
Oliver Turner: Thanks, Graeme, and hello, everyone. Just turning over to the next Slide 12. The third quarter saw a lot of activity both at the operations and across our corporate offices. We attended our first in-person conference since the beginning of the pandemic, the Denver Gold Forum, which turned out to be a very successful event for Karora and its shareholders. Our strong share price performance since the end of the third quarter has been the result of a confluence of positive factors. First and foremost, we have continued to deliver on our operational promises. This has built up the increased investor confidence gained over the course of the year. At the end of September, we experienced some pressure on our stock as our publicly traded warrants were exercised. However, since that event, we assume a strong share price performance in the market. We believe this was due to the addition of new institutional shareholders, some strong technical triggering events as well as a welcome return of capital flows to gold mining equities across the sector. Last quarter, we were proud to announce our partnership with the Net Zero company to spearhead our carbon reduction initiative. As Paul previously mentioned, this quarter, we are extremely pleased to announce carbon neutrality in 2021 across our Scope 1 and Scope 2 emissions. This was achieved via investment in an Australian reforestation and conservation project amongst others. This initial step is only the first of many, which will include a medium- and long-term plan to reduce emissions across our operations and offices as we transition towards a greener future. We are currently evaluating several initiatives and technologies to reduce our emissions, and we'll be outlining our road map as we develop the strategy moving forward. Climate change and addressing our carbon impact is clearly something we take seriously at Karora, and we are proud to be pioneers in the junior gold sector. And with that, I'll turn the call back over to Paul.
Paul Huet: Thank you very much, Oliver and Graeme. Now we're going to turn it over to you for some Q&A. I see that we’re right at up 20-minute mark. So let's turn it over for some Q&A questions, please.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session [Operator Instructions] Your first question comes from Ovais Habib with Scotiabank. Please go ahead.
Ovais Habib: Thanks, operator. Hi, Paul and Karora team. Congrats on a good quarter. This was despite challenging weather and COVID impact. So congrats on that. Paul, my first question is whether these challenges continue into Q4, I mean, in terms of weather, obviously, COVID continues as well. But any color on how Q4 is progressing? Essentially, you produced about 30,000 ounces in Q3. You need about 20,000 ounces to – in Q4 to meet the lower end of guidance. So just trying to gauge how Q4 is essentially shaping up?
Paul Huet: Yes, Ovais, thanks very much for the question. Look, we've really set the stage to end the quarter strong. Unless there's any really big unforeseen issues with weather or flowed impact. And look we know that, that can happen. So, I would never say that's never going to happen. We have put in a lot of mitigation here to prevent that. So, we have a lot of policies and procedures in place. We have our own chartered planes that we're doing. We're doing a lot of steps to prevent any type of outbreak or any type of COVID situation. We're not -- we're, like everyone else, it does happen from time to time. And in fact, we have had it happen this year where we had to shutdown the mill for a couple of the results of it. But not willing, everything goes the way we have gone for the first 3 quarters, Q4 will be another solid quarter. Beta Hunt produces 75% of our ounces and Beta Hunt is going quite strong. It's probably the easiest mine, I've ever been part of in my career. We mine 6 stopes quarter. We don't even have to backfill, and they're very continuous good stopes. So we have a lot of that in front of us already predrilled and pre-blasted. So provided we don't have any unique surprises, we're going to end the year with a record here for us and our shareholders.
Ovais Habib: That's great to hear, Paul. And just quickly on 50C zone., Now I think I may have missed it and maybe Graeme touched on it a little bit, is essentially how that development is moving along? And when do you start expecting to start pulling ore from there?
Paul Huet: Yes. Pulling ore is a little premature. Look, it was a good discovery, right? It was a massive discovery off of the fall for us. We're still waiting on assets. We put out the press release on 6 of the holes. We're still awaiting assays. And look we're hopeful, we're waiting as is below the nickel as well. If we look to the north here, most of the geologic formation, you see the nickel and then below it, there's gold. So, we're like everyone else here. We're really eager to wait for assays. As soon as we get them, we're going to be announcing them. So 50C is a very encouraging, exciting area. – especially considering we've been mining remnant areas in the nickel since, we've taken this thing over. So, getting into 30C and 50C are going to be a big part of our program for 2022 and getting out of the remnant areas into those new areas. So, we're a ways away from actual mining into 50C. We just discovered it. So, but we're eager to get results and then share them with the rest of the world.
Ovais Habib: Got it. And that’s it for me, Paul. Appreciate the – all the color.
Paul Huet: Thanks Ovais.
Operator: Your next question comes from Matthew O'Keefe with Patrick Fitzgerald. Please go ahead.
Matthew O'Keefe: Hi. Thanks operator. It's Cantor Fitzgerald. Congrats on a great quarter, guys. Again, just banging it out, looking great. Just some questions on what we're going to see going forward here a little bit. I mean, you had some very good grades coming out of Beta Hunt and Higginsville. Beta Hunt was very high. I mean, are we going to see that -- I mean, I'm feeling like Beta Hunt is kind of getting -- hitting its stride here and should be fairly consistent with respect to grade and tonnes. And then with Higginsville, it should be more variable, because we have a couple of new mines coming on or new sources of material coming into the mill. So the question is, is Beta Hunt going to be consistent? And then, should we look to see some more variability from Higginsville? And will that be with Spargos, sort of Lake Cowen, how will those grades -- sorry, with Spargos, those grades kind of impact your recoveries and grades going forward?
Paul Huet: Yes. Look, thanks for the question. Graeme, I'm going to let you answer considering you're monitoring every stope and everywhere we're mining in Q4 to end the year. So why don't you talk about the grade, Graeme?
Graeme Sloan: I will, indeed. Thanks, Matthew, for the question. Firstly, look, as you know, we -- there's a number of stopes we mined throughout the year. Some of those are higher grade than the others. The average grade gets us up around that 2.6 to 2.8 grams. We did -- we were mining this quarter some of the higher grade stopes. So we did see some of the better grades come through. But overall, what we're seeing is for the year, we'll see somewhere around the reserve grade, which is around, as I said, that 2.6 to 2.8. So going forward, look, I see exactly the same thing happening. Sometimes, we'll be mining these lower grades. But overall, we'll get that average grade coming up through the rigs now. I think, your other part of your question about the grades -- sorry, the stopes, what we're looking to do in the future. Again, we're mining some of those from the Western Flanks, which again, when we get into the A Zone, we normally get some of that little bit of coarse gold come through, which might help the grade as well. We've been mining mostly Western Flanks up until now.
Matthew O'Keefe: Okay. Thanks on that. I can just change gears a bit of another question. On the carbon credits, which is obviously something that everyone's got to be looking at now and applaud you for jumping on that. But I'm just curious to help us out here. So where did you purchase the credits and how much did that actually cost the purchase credits versus actually reducing the carbon on-site?
Oliver Turner: Yes. So just to be clear, our focus will always be to reduce our own carbon footprint, right? Our goal is to get our Scope 1, Scope 2 emissions as low as we can, and we're doing that. We've already done that in many ways. Our first step was to actually understand how much carbon we're emitting and get somebody in there to help us look what states at. Three, four years ago, when I was CEO of another company, I wasn't even thinking or talking about carbon credits or net zero or net neutrality. So becoming net neutral was a big step for us and these offsets that we were able to work with through the company, NetZero itself. That company NetZero assisted us along way because they are experts in this field, and we wanted to make sure that we were getting certified and qualified credits and they were helping the areas that we're working in here. So, they were along the areas where the bush fires occurred here in Australia. The exact amount at the top of my head, I don't remember it, but I know that we had purchased about 70,000 tons of offsets. I could come back on the exact amount, I don't know it at the top of my head. Sorry for that, but I know that we purchased offsets for 70,000 tons with the goal and objective from the Board on everyone here getting neutral by reducing our own emissions with trucks, renewable energy, diesel, biodiesel stuff, a lot of the stuff, others are looking at as well. We've just pulled the trigger really quickly and we know that it's paying off. We can -- we hear it in a lot of the calls that we're having with institutions -- actually I've been doing a lot of marketing, so as Oliver, and we've been getting some very strong positive feedback as a result of taking that first step on it.
Matthew O'Keefe: Okay. Yes. No, I was just kind of trying to get a sense of what -- how carbon is priced locally, or how it gets factored into costs or all-in sustaining maybe going forward or cash costs? I'm not just sure how you're going to account for it, but I think it's great. I'll follow-up with you on that later. And just sort of the final question then is just on cost. I mean we're seeing -- obviously, inflation is a big component out here. We're seeing cost creep in other companies. I mean, diesel has obviously gotten more expensive. I'm assuming I'm not sure how much explosive when you -- how much of that you bring in at any one time? I mean are you seeing -- you must be seeing some increases there. And I'm wondering if you can put an estimate on what inflation is going to have an impact on and maybe 2022 costs if you have been able to think about that yet?
Paul Huet: Yes. So, look, we're not sheltered from any of that. Some of -- all the companies here in WA are competing with not just labor costs, which is actually one of the big ones -- one of the big ones is actually labor. So, one of the things that's creeping on us is labor. We're offsetting some of that by some really, really good productivity rates. Graeme and the team, we've seen productivity rates come up in some areas, 10% to 30%. We've seen productivity rates and the ramp come up significantly. So, we are seeing commodities, reagents. Look, I'll give you one example. We saw transportation for equipment, for getting stuff delivered come up like 700%. We were quite surprised but we've been putting in a lot of steps in our purchasing department, buying longer, buying more bulk stuff, buying negotiating better terms. The productivity rates on our people are really stepping up and has been helping reduce our costs. So, all the steps, everything together, we've been holding that $1,000 all-in sustaining costs. And look, again, I think what we'll -- where we're going to end the year is definitely within that guidance that we put out earlier this year despite some of these challenges that we are facing. I'm pretty confident that we will hit those guidelines that we put out this year.
Matthew O'Keefe: Great. Well, thanks. And keep up the great work. Thank you very much.
Paul Huet: Thanks.
Operator: Your next question comes from Nicolas Dion with Cormark Securities. Please go ahead.
Nicolas Dion: Hi, guys. Congrats on another good quarter. Most of my questions have been answered. I guess, maybe I'll just ask on the Phase 1 expansion. I read that, that's expected to be completed this quarter. So just wondering if you could give us a bit of an update on that as well as the Stage 1 ventilation that you completed at Beta Hunt, just maybe just elaborate on those?
Paul Huet: Yes. Nick, I'm going to let Graeme talk to them. I know the answer to both, but I know these are both good operational things. So Graeme, if you want to talk to the expansion of the mill and then the stuff we did on the infrastructure for the ventilation?
Graeme Sloan: Let me start off with the ventilation. The Stage 1 ventilation is now complete. It's been commissioned and up and ready. This will obviously take -- allow us to sort of move into the growth phase when it does start off, but also allows us to move into those bottom areas around Larkin zone, which we can now take in and start developing some of those areas 30C and 50C. So it's a big step for us. It's very important, but it was done on time and on budget. So that's a great achievement by the team on site. As far as the Higginsville plant upgrade. Look, the planning is well underway. We should be ordering the long lead items early part of New Year or even later this year. But that's -- that should be in there that will be -- we have plenty of time for it to come on board. And the environment -- so the engineering studies are underway. So all-in-all on schedule, and we should, as I said, start putting in the orders for the long lead items shortly.
Paul Huet: Sorry, Nick, I know that you had asked about Phase 1. So actually, Graeme understood Phase 2. So he's right, Phase 2, all that stuff we are ordering for that Phase 2. But that Phase 1 is expected to be complete by the year-end. We have the screens that have arrived that. We have a crew putting in. I know that we're flying to site in the morning. We're actually going to see some of those screens actually ourselves. Those are some of the final components to complete Phase 1 altogether. So Phase 1 will be complete this quarter.
Graeme Sloan: Sorry. Yes. Sorry, Paul, I misinterpret that.
Paul Huet: Yes. No worries, Graeme, it's hard to hear.
Graeme Sloan: Yes. You're 100% correct, Paul. It's -- the Phase 1 is well and truly in hand. The last piece of equipment is on site, and it will be installed before the end of the year. So, again, with that 1 as well, all on track.
Nicolas Dion: Okay. That's great, guys. Thanks. That's it for me.
Paul Huet: Thanks, Nick.
Operator: Your next question comes from John Sclodnick with Desjardins.
John Sclodnick: Hey, thanks, guys. Great quarter and nice to see the stock responding here. Just to follow-up, I guess, on Matt's question, just with the grade at Beta Hunt. Just wondering if it was kind of in line or slightly above your expectations? And generally, if you're seeing some positive grade reconciliation at Beta Hunt?
Paul Huet: Sorry. I mean, Graeme, do you want to take that?
Graeme Sloan: Paul, do you want to me to take that?
Paul Huet: Yes, go ahead, Graeme.
Graeme Sloan: Yes. Yes. No, this is -- it was definitely planned. It's in our mine plan. We will hit these high-grade stopes throughout the year particular in and around certain areas in Western Flanks and to a lesser extent at A zone. So, yes, look, we fully expected to hit this stope. We plan around them. We would like to see more of them obviously, but they are all part of the long-term mine plan for us.
John Sclodnick: Okay, perfect. I appreciate that color. And just on CapEx, it came a little higher than I was expecting this quarter. Obviously, you've got a few projects on the go, though. Is this associated with the equipment replacement at Beta Hunt? And then just also just wondering what level of CapEx we can expect for Q4 and if you're still expecting to be within the guidance range on that?
Paul Huet: Yeah. So look, it's a double blessing here, right? So we -- it was some trucks that we had available and exploration drill rigs. So because we had brought in some strong geology people earlier on in the year, they had access to drills that we didn't have access to earlier in the year. So we were able to take advantage of that and get some extra drills and drill more in Q3, and there was an addition of some equipment. So Q4, we're hoping to try to get so more equipment in advance of 2022. The capital should be within the guidance for the year.
John Sclodnick: Okay, perfect. The rest of my questions have been answered. Best of luck guys.
Operator: [Operator Instructions] Your next question comes from Pierre Vaillancourt with Haywood. Please go ahead.
Pierre Vaillancourt: Hi guys. Wondering if you could provide some detail on your unit cost, just net of the currency impact, just how you're doing on a per tonne basis at each operation?
Paul Huet: Graeme, can you hear me?
Graeme Sloane: Yeah, yeah. I can hear you.
Paul Huet: Yeah, go ahead.
Graeme Sloane: Yeah. Look, I'll take this one, if you like, Paul.
Paul Huet: And you can stick to transportation, the milling and mining to those. Yeah.
Graeme Sloane: Yeah, look, the mining costs at Beta Hunt remained pretty stable over through the year, which is good to see. We have seen, obviously, the increase, which has taken a little bit off the overall mining cost. But they simply sit in that range of between around that 40 to 80 -- sorry, $75 a tonne for mining costs and then it goes into the milling costs around 25 to 30 tonnes -- $30 a tonne and some outage costs on top of that and admin as well. So I can provide probably a little bit more detail offline. But as far as Higginsville around that those mining costs are simply around the open pits, they are similar around the cost, again around those costs as Beta Hunt, probably slightly higher around the $50 a tonne that sort of number, and milling cost obviously the same. Transport costs are a bit less, because we're not transferring it as far as Beta Hunt. However, and the underground costs really haven't come to the fall because we're still early stage for those. So, overall, our costs are in that order. And as far as going forward, we anticipate those costs to be around the same in next year as well.
Pierre Vaillancourt: Okay. Thanks, Graeme. Yeah, if at some point, you could just provide me with a more exact number for each one. Just be great to be able to keep track of that. Also, just wondering, Graeme, on the breakdown, so you mentioned that Beta Hunt has about 75% of gold production. How is that going to shape up in Q4 in 2022? I'm assuming we'll see a larger proportion from Higginsville. Maybe you can elaborate on just what the contribution is in the context of the guidance that you provided?
Graeme Sloane: Absolutely. The Beta Hunt will continue around that sort of 1 million tonnes per annum, right? That's about 80,000 tonnes of 85,000 tonnes a month. And that will continue on until the later part of the year – of next year, when we should start seeing a little bit extra come through with the additional development for the second decline going in and starting to access some of those top areas. So that – and then as we go into 2023, obviously, that starts to increase quite significantly. Higginsville on the other hand, including Spargos, will start to pick up pace as well. In fact, we will see a lot more tonnes coming from Spargos, around that 30,000, 35,000 tonnes a month coming in from Spargos and then the underground both at Aquarius and to a lesser extent, Two Boys in the latter part of next year will start to pick up – pick up pace. But it won't be a lot about the tonnes at Higginsville, if you like, Beta Hunt will be like your – the main supplier of tonnes, your bread and butter. It's your standard stock stand at 2.6 to 3-gram material coming through. However, your Higginsville production centers at Spargos will be a bit of the recurring. It will be the higher grade, but not a lot of tonnes coming into there. So it's – it won't be about the tonnes from Higginsville. It will be more about the grade coming in from Higginsville. And we still have a number of resources out there that reduce bulk low-grade tonnes, when I say low grade, somewhere around the 1.5 to 2.5 grams, or up to the 2 grams anyway. So – but they will come in at a later stage in the production profile, or the production mine life plan, life of mine plan that we have – we're developing. So we've got really the best of both. We've got the bulk tonnes coming from Beta Hunt and the higher grade tonnes coming from Higginsville. It's taken a bit to get there, given the amount of development, as Paul mentioned, with the capital work that we've been put into Higginsville, and the drilling that's been putting into there. So it's starting to pay dividends for us.
Operator: That is all the time we have for questions. Mr. Huet, please proceed.
Paul Huet: Thank you. I just want to take a moment, and thank everyone for joining us on this call today. We know that you guys are all very busy and you got a lot on your plate. So thank you very much. And as a gentle reminder, Oliver Turner, our Executive Vice President, will be going live here on a six webinar here very shortly in about an hour. So I would encourage everyone to go in and listen. I'm sure it will be a great, great event. Thanks to all our shareholders and wish everybody a safe time during this COVID era, as we get through it. And have a great day, everyone. Thank you very much.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating. And ask that you please disconnect your lines. Have a great day.